Operator: Good day and welcome to the BioDelivery Sciences First Quarter 2020 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Terry Coelho, Chief Financial Officer of BioDelivery Sciences. Please go ahead, ma'am.
Terry Coelho: Thank you and good afternoon everyone. Welcome to our first quarter 2020 earnings conference call. Leading the call today is Herm Cukier, Chief Executive Officer. We are joined by Scott Plesha, President and Chief Commercial Officer.Following our prepared remarks, we will conduct a question-and-answer session. After the market closed today, BioDelivery Sciences issued a press release announcing its financial results for the first quarter 2020. The copy of the release can be found on the Investor Relations page of the Company's website.Before we begin, I would like to remind everyone that certain statements may be made during this call, which may contain forward-looking statements. Such forward-looking statements are based upon current expectations and there can be no assurances that the results contemplated in these statements will be realized. Actual results may differ materially from such statements due to a number of factors and risks, some of which are identified in our press release and our annual, quarterly and other reports filed with the SEC. These forward-looking statements are based on information available to BDSI today, May 7, 2020, and the Company assumes no obligation to update statements as circumstances change.An audio recording and broadcast replay for today's conference call will also be available online, in the Investor Section of the Company's website.With that, I'd like to turn the call over to Herm Cukier. Herm?
Herm Cukier: Thank you very much, Terry and welcome everyone to our company's first quarter 2020 earnings call. I recognize these are extraordinary and challenging times and hope you and your families are well and healthy.With regard to the first quarter performance, I am very pleased to report that we once again established an all-time high for total company net sales with $38.3 million, representing growth of 94% versus the first quarter of 2019. BELBUCA and Symproic prescriptions grew 52% and 19%, respectively, year-over-year during the first quarter.These strong results were fueled by positive momentum for both products through the early part of March, at which point we began to experience the impact of the COVID-19 pandemic. Nonetheless, through the hard work and dedication of our employees, we were able to rapidly transform our commercial approach and successfully finished the quarter with record level performance.Turning to the COVID-19 situation, I am very proud of how our employees responded to this unprecedented challenge. Our focus has been and remains on our greater mission of helping support patients suffering from chronic pain, while also ensuring the health and safety of our employees and customers.As the pandemic materialized, our number one priority was to meet the needs of patients and the health care providers we serve. We acted quickly and swiftly on three fronts: first, we ensured constant supply of our products as they provide important clinical relief for patients suffering from chronic pain.Second, we transitioned our customer engagement to virtual support and launched an array of new customer and patient service programs. And third, we established an internal COVID-19 cross-functional committee to vigilantly assess the market trends and dynamics, benchmark best practices across the industry, and ensure hyper focus to navigate through this unprecedented situation. We believe these actions are having a beneficial impact based on the brand trends we see in the second quarter thus far. And believe they will be important components for renewed momentum as our customers return to more normal operations.In addition to the successful customer initiatives and services, which we launched since the start of the pandemic, the organization continues to make important progress on many other aspects of the business. One of our stated objectives has been to expand BELBUCA access for Medicare and major regional commercial plans with the aim to match the level of success we've achieved across commercial national plans.To that end, I am very pleased to share that we have recently gained preferred position within multiple Medicare plans, expanding access to several million covered lives. In addition, we have expanded access within several prominent regional institutions, which offer both their own covered lives as well as potential influence on clinical practice within the metropolitan communities.On the supply side, we have continued to increase our supply of finished goods to approximately 4 to 6 months of inventory on hand for all seven doses of BELBUCA. This represents a significant increase since the start of the pandemic. We have also secured sufficient materials to continue production into 2021.Our ability to make investments in the new customer programs, building further inventory of supply and continuing successful operations in the organization is a result of the key immediate reorientation and action by the company as pandemic surface.We began the year with a strong balance sheet and were able to further strengthen our position with a very successful first quarter. Ensuring financial durability is a key strategic priority for BDSI. And we are prudently managing our spend during this period to protect and [indiscernible] business through this near-term disruption, while continuing to invest towards long-term sustained growth.The COVID-19 pandemic is an unprecedented and fluid circumstance with significant near-term uncertainty. We had a great deal of confidence in the growth momentum of our portfolio, which led us to provide full-year guidance in November of last year. The performance during the first quarter with some puts and takes exemplifies the potential for sustained momentum in the brands.While we remain confident that differentiated clinical benefits of our products and the underlying demand we received from physicians and patients, the near-term uncertainty around the pandemic leads us to withdraw our guidance for 2020. We remain hopeful that as states begin to remove stay in place orders, physician offices and clinics will resume more normal patient care activities with corresponding market performance. We look forward to providing updates as events in the country unfold over the next few months.To conclude, I am very pleased by the success of the first quarter, as well as how the organization has responded to the challenges presented by the COVID-19 pandemic. We have therapeutically important products, a strong balance sheet and a talented and committed team of employees. We remain poised to successfully navigate through the short-term uncertainty and achieve our ambition of long-term sustained growth.With that, I will turn the call over to Scott to provide more details of our performance during the first quarter and our new promotional tactics in 2020. Scott?
Scott Plesha: Thank you, Herm. As Herm mentioned, during Q1 2020, we reached another record for BELBUCA prescriptions of more than 99,400 retail TRx. This represents a 52% increase in BELBUCA TRx compared to the first quarter of 2019 and the 3.5% increase over the fourth quarter of 2019. We were building momentum during the quarter and our trends supported BELBUCA exceeding our expectations in the first quarter and beyond.The early momentum we built was slowed toward the end of the first quarter by social isolation measures began to be implemented nationwide in March. During the slowing of growth, BELBUCA Q1 TRx market shares increased to 3.6% from the Q4 2019 market share of 3.3%. It's also encouraging to see BELBUCA market share increase to 3.8% through the first three weeks of April.During the first quarter BELBUCA's new to brand market share of 7.3% held steady from the fourth quarter and March finished at 7.8%, well above the TRx share of 3.6%, and there's still significant opportunities to grow total prescription share as these metrics historically converge.Our BELBUCA prescriber base continues to grow in the first quarter, a testament to the execution by our sales team. We drew our BELBUCA prescriber base in the first quarter by over 1,100 new prescribers, the fifth quarter in a row where we added more than 1,000 new prescribers, reaching over 7,600 total unique prescribers in the quarter, an increase of 28% versus same period a year-ago.As we entered Q2, we were able to improve BELBUCA coverage from non-formulary, not covered to covered or preferred status in over 2 million Medicare Part D lives within Express Scripts, SelectHealth and UPMC Health. Furthermore, we believe that with additional work, we have the potential to add several million more Medicare lives as we head into 2021.On the commercial side, we improved our coverage within two prominent commercial clients: Highmark Blue Cross Blue Shield and UPMC. While we were previously covered within Highmark, patients will no longer be required to fail too long-acting opioids before accessing BELBUCA. Importantly, UPMC has moved BELBUCA from a non-formulary, not covered status to covered with a typical class prior authorization.The BDSI commercial team has a proven track record of pulling through market access wins and its focused on maximizing these opportunities. This is displayed in the results we've seen in prime therapeutics since this win was put in place during Q4 and Q1. We have seen BELBUCA TRx market share within prime go from 3.9% in Q3 of 2019 to 4.7% in Q1 to 2020. Symproic Q1 retail prescriptions reached over 16,100, representing a 19% increase year-over-year compared to Q1 2019.During Q1 2020, we generated a 13.3% NRx share and 11.7% TRx share representing the highest market share to date. We expect continued TRx and revenue growth for Symproic as its NRx share has consistently exceeded total Rx share since May 2019 and was 13.8% in the month of March.In the first quarter, we successfully added 1,170 new prescribers for Symproic, which helped the brand reach a new quarterly high of almost 5,000 prescribers. We continued to view Symproic as an extremely promising brand and believe our early 2020 market access wins within Prime Therapeutics and CVS will be catalysts for growth in 2020 and beyond.The BDSI sales force is on a strong job taking advantage of these wins, has improved our TRx market share within Prime Therapeutics from approximately 20% in Q4 to 44% in Q1 and from 10.5% to 13.7% within CVS/Caremark. We are very proud of these results that our team generated during Q1, especially with the headwinds that we face due to the COVID-19 pandemic.While the influx of new patients for our products has slowed, much like we're seeing in the broader markets, we are encouraged by the retail rates we are seeing and the steady TRx trends. As the impact of COVID-19 grew, our primary focus was to support our HCPs and their patients. We accomplished this by reinforcing the many resources available to patients in HCPs and the unique attributes our products possess.As Herm highlighted, our commercial team rapidly pivoted to a new virtual promotion environment in the quarter. We continue to implement new ways for our territory manager to remain engaged with the target physicians and office staff, and for doctors to maintain a dialogue with the company and their peers about BELBUCA and Symproic.We have now implemented a new virtual engagement platform, an enhanced e-mail communication portal and virtual speaker programs. These initiatives have resulted in the sales force having over 5,500 touch points with HCPs and their staff each week, a meaningful increase over the typical number of interactions in any given week. It's also been encouraging to see the high interest HCPs have exhibited in learning more about the BELBUCA from their peers through our virtual speaker programs where we have average well over 15 attendees per program.We also promptly recognize that patients may face disruptions in insurance coverage and income during the pandemic and have created initiatives to help secure and preserve access. First, we are in the process of implementing a hub service, which should be fully functional by the end of May or early June. This service will assist with prior authorizations at a time when the pain practices we support may be short staffed and not have the same capacity to assist patients with prior authorizations that insurance providers may require.Secondly, recognizing that current patients and potential new patients may experience changes in their insurance coverage during this challenging time. We've recently expanded the co-pay assistance program for BELBUCA. We've begun offering a maximum out-of-pocket amount for commercial patients, may not -- that may now be uninsured or underinsured. Our goal is to make BELBUCA more accessible during these difficult times.Taken together, we hope that these initiatives will help to keep our brands relevant and available to our customers and patients, while maintain our position as a key partner in the treatment of chronic pain and opioid induced constipation. We had a very successful Q1 that resulted in another record quarter for revenue. And many other important growth metrics for BELBUCA and Symproic.Our Q1 results supported the growth trends we had in place prior to our momentum being slowed by the impact of the COVID-19 pandemic. We also believe that a recent market access wins for both brands, and our successful track record with executing against these winds will support the growth of BELBUCA and Symproic.In concluding, I'm particularly proud that our sales and marketing team pivoted so quickly to effectively implement new initiatives to support our health care professionals and the patients they support during these challenging times.With that, I'll turn the call over to Terry to provide an update on the financials. Terry?
Terry Coelho: Thank you, Scott. As Herm and Scott discussed, we are very excited to report outstanding first quarter results, which have once again exceeded expectations across the board for both sales and profitability.Total net revenue for the first quarter 2020 was $38.3 million, an increase of 94%, compared to $19.8 million in the first quarter of 2019. In addition, total revenues in this first quarter increased by 21%, compared to $31.6 million in the fourth quarter of 2019.BELBUCA net sales in the first quarter were $33.5 million, an increase of 79% compared to $18.7 million in the first quarter of 2019. The net sales growth of 18% in the first quarter versus the fourth quarter of 2019 was primarily driven by the continuing growth in prescriptions, which Scott shared, favorable gross to net deductions and higher average price driven by the favorable dose mix and the impact of the price increase enacted in January.Symproic has been an ideal complementary product for BDSI as we were able to effectively integrate it into our product portfolio and take advantage of the substantial overlap in the target prescriber base. Symproic net sales in the first quarter ended March, 31, 2020 with $4.2 million, an increase of 54% versus the fourth quarter of 2019, driven primarily by savable gross to net deductions and the impact of the January price increase.We were pleased to see that we were able to end the first quarter with wholesaler inventory levels comparable to previous quarters for both BELBUCA and Symproic. BUNAVAIL net sales for the first quarter were $100,000 compared to $1.1 million in the first quarter of 2019.In March of this year, the company announced the planned discontinuation of marketing of BUNAVAIL in 2020. Royalty revenues for ex U.S. sales of PAINKYL and BREAKYL totaled $563,000 for the three months ended March 31, 2020, a decrease of $600,000 when compared to the fourth quarter of 2019.Total gross margin for the quarter was 85% as compared to 80% in the first quarter of 2019 and 77% during the fourth quarter of 2019. The increase versus the fourth quarter of 2019 was primarily due to the fourth quarter one-time impact of approximately $3.8 million in costs associated with the planned discontinuation of marketing of BUNAVAIL. Gross margins for both BELBUCA and Symproic were approximately 87% in the quarter, aligned with the fourth quarter of 2019.Total operating expenses in the first quarter of 2020, were $26.7 million compared to $17 million in the first quarter of 2019 and $23.8 million in the fourth quarter of 2019. The year-over-year increase was primarily driven by the impact of the expanded sales force and market access teams, as well as the establishment of the medical affairs and MSL team together with the introduction of Symproic into the company's portfolio. The quarter-over-quarter increase reflects the impact of planned marketing investments and the phasing of key initiatives.GAAP net income for the first quarter was $5 million or a net income of $0.05 per share compared to a GAAP net loss of $3.8 million in the first quarter of 2019 or a net loss of $0.05 per share. The first quarter's net income reflects our overall revenue growth, coupled with improving gross margins as well as our improving operational efficiencies.EBITDA in the first quarter of 2020 was $7.8 million or 20% of net sales compared with a $100,000 in the first quarter of 2019 and $4.1 million, or 13% of net sales in the fourth quarter of 2019.Non-GAAP net income for the first quarter was $8.3 million and reflects GAAP net income excluding stock base compensation and noncash amortization of intangible assets. This compares to non-GAAP net income of $6.4 million in the fourth quarter of 2019, excluding stock-based compensation non-cash amortization of intangible assets and the one-time nonrecurring impact of the discontinuation of marketing of BUNAVAILAt March 31, 2020, BDSI had cash and cash equivalents of $70.6 million as compared to $63.8 million at December 31, 2019. Operating cash flow in the first quarter were $6.4 million with overall cash flow in the quarter of $6.7 million compared to $8 million in the fourth quarter of 2019. We are pleased to have entered 2020 and the second quarter with a healthy balance sheet. This strong financial foundation positions us well to manage through the current period of uncertainty.As Herm shared already, we are managing our expenditures prudently and showing continuation and prioritization of key initiatives. I’m very proud of the BDSI finance team, who rapidly transitioned to remote working and close the quarter seamlessly.Overall, as a company we are proud of our resilience and the team's ability to very effectively adapt over the past quarter and look forward to continuing to bring meaningful clinical value to our patients.We'd now like to take your questions. Operator?
Operator: Absolutely. [Operator Instructions] We'll go first with Brandon Folkes from Cantor Fitzgerald. Please go ahead.
Brandon Folkes: Hi. Thanks for taking my questions and congratulations on the quarter. Firstly, maybe one on the quarter. We talked about a favorable gross to net, just to quote out the potential for the increased [indiscernible] assistance to the rest of the year. So can you just help us think about gross to net for the remainder of the year? And then maybe can you provide some color in terms of what you're seeing in April is new to brand patients start. And secondly, are you seeing any signs of [indiscernible] creep up as patients push off elective surgeries, or could you maybe provide any color in terms of what percentage of patients on BELBUCA may be managing their pain ahead of an elective surgery? Thank you.
Terry Coelho: Hey, Brandon, thanks for the questions. I'll start out and then I'll pass it over to Herm to build upon that. So first of all, on the gross to net, I think we do see typically in the first quarter of most years, you have some capability. You don't have the Medicare Doughnut Hole impact, which tends to increase at the year moves along. So that’s certainly one of the drivers as we look at the phasing throughout the year. I think overall our gross to nets have been pretty stable now for about a year, and I would expect at this point that it would probably stay in or about the same range knowing that as the year progresses you do have the Medicare and particularly the Medicare Doughnut Hole impact. I guess, Herm, do want to take the second part of his question.
Scott Plesha: Actually, Terry, I think I'll take it. This is Scott.
Terry Coelho: Okay.
Scott Plesha: Thanks for your question. So first, regarding the new to brand, great insight, because obviously the exposure -- the amount of patients going into offices now has been reduced. What we're seeing is a new to brand impact that's comparable to the marketplace. It's basically down 20% to 25% at this point in time. And so as we look at that, I think tying it into things like persistency. I think persistency right now, it's you have to look at persistency over 3 to 6 months typically. So we really don't have the data to look at that long-term if it's going to be stickier over time. One things that are encouraging is that the new to brand has been pretty flat within the market and for BELBUCA over the last four weeks. So it's been steady, much like our TRx. The thing we are seeing is repeat prescriptions actually staying fairly well [indiscernible] at this point. So kind of the resale rates staying in line and being consistent as well. One thing -- another thing I do think about is adherence. One of the things we're seeing across the entire pharmaceutical industry is a higher adherence rate for brands. We don't have data yet down to our level to look at that. So -- but in fact, patients are not abandoning scripts at the rate they used to. So they're more likely to get them sold.
Brandon Folkes: Great. Thank you very much and congratulations on the quarter.
Scott Plesha: Thank you.
Herm Cukier: Thank you, Brandon.
Operator: Thank you. We'll next go with Greg Frazier from SunTrust. Please go ahead.
Greg Fraizier: Thank you. Its Greg Fraizier on for Gregg Gilbert. I’m not sure I miss this, but was there any stocking of note in the quarter for BELBUCA?
Terry Coelho: Hey. So, no actually I -- as I commented, we were really chose to see that the quarter ended with very consistent wholesaler inventory, as we've seen in the prior -- in all the private periods for the last year or so.
Greg Fraizier: Got it. And then you mentioned that you expected gross to net to stay in the same range. I guess that means you're not anticipating material pressure of gross to net from the new patient support programs?
Terry Coelho: I mean, I guess what I would say is we've looked at it. Certainly, Scott and I've spent a lot of time on it and we think it will balance. And when I say consistent, remember, as I mentioned before, you do have a little bit of inching up as the year goes on because of the Medicare impact. But overall, we've talked about low 50s for BELBUCA and low 60s for Symproic and I still feel that those are good ranges to be thinking about.
Greg Fraizier: Okay, got it. Then -- on expenses, you’re managing expenses prudently. Can you speak just generally about expense cadence in the coming quarters? Another guidance question, but clearly some costs are coming down for you and others. Others costs may be going up. Just any additional color you can provide on spending that would be helpful.
Terry Coelho: Yes, I think, Greg, what we've indicated for this year and what we put in place for our plans for this year has been spend in the, let's say, the mid 20s on average, with some fluctuation always when you move from quarter-to-quarter. I think you're right that it's most likely that our TME spend in the second quarter will be lower than we would have planned. But we're also obviously investing in some of the virtual programs that we're doing. So overall, I think that's still a good range to be thinking of. We do have fluctuation from one quarter to the next, but those mid 20s, is the right way to be thinking about it.
Greg Fraizier: Got it. That's helpful. My last question is on the development and whether you're still actively evaluating opportunities or things sort of slowed down on that front, given all the uncertainty with respect to COVID? Thank you.
Herm Cukier: Hi, Greg. This is Herm. Thank you very much for your questions. And obviously, as we said during our presentation today, our primary focus is on patients and the customers that we serve. And we've been hyper focused on insuring that they have everything they need to get through this extraordinarily difficult time. I think the long-term for this organization, we continue to be one but focuses on continued growth. As Terry highlighted, we have a very strong balance sheet. We're going to continue to find ways to invest in driving top line growth, and that will remain our focus. But to your point right now, I think everyone is appropriately focus on navigating through the uncertain times of the pandemic and ensuring that our customers have what they need and that we can serve -- service them as best as possible.
Greg Fraizier: Thank you.
Operator: Thank you. We will next go with Tim Chiang from Northland Securities. Please go ahead.
Tim Chiang: Hi. Thanks. Just two questions for me. And obviously you guys have had a strong history of execution and it looks like you've had another strong first quarter. And obviously you've taken guidance away and I guess my first question is sort of how do you sort of see this year progressing? Obviously, it's kind of hard to predict how BELBUCA and Symproic will do, but it looks like you've got a lot of momentum behind both products, you're getting good insurance coverage. What can you do in this type of environment to sustain this type of growth?
Herm Cukier: Yes. Thank you very much. Maybe I'll start, then Scott maybe you can build upon some maybe emphasizing some of the programs that we put in place, because I think some of the programs that Scott highlighted maybe will emphasize the second component of the answer to this question are ones that are very acutely important now. But actually, we believe have real value and merit to our customer base and ones that we were looking at in terms of elements of helping us continue to drive further growth into the future. And so a lot of these programs, we think will have quite a bit of runway even as hopefully the country begins to come out of the acute pandemic situation. But to your question here, I think, right now we are very pleased by the momentum that we saw in the first quarter of this year, especially heading into the early part of March, where we're really seeing quite a pickup as we typically see in the cadence of the script patterns with a product like BELBUCA and Symproic. Obviously, the pandemic, Scott, .correctly pointed out has had somewhat of an impact. But we’re very pleased by the script patterns relatively that we're seeing until the early part of the pandemic. Again, we're very hopeful that as the country begins to open up and states begin to remove or let expire their stay in place, orders that our doctors can begin to have the same traffic flow of patients that they had previously and begin to provide the same kind of service to patients in that market performance follows accordingly. And so we absolutely believe that our products provide very important therapeutic value to our patients, and we remain very optimistic about the long-term opportunity of these products. Scott, maybe want to add just a little bit about some of the other programs that we believe will continue to add value moving forward as well.
Scott Plesha: Yes. Thank you, Herm. I had mentioned in my prepared comments that we initiated a virtual speaker program and we are already considering putting speaker programs back in place in the back half of the year, so very quickly pivoted and pulled out forward and obviously are doing them virtually now. And as I mentioned, to have over 15 HCPs on a call to speak to the interest of the product. The other thing we've looked at is providing the BPA support, prior authorization support. And I think right now it makes a lot of sense with, again, short staffed offices that maybe stretched, that cannot do all the work right now, maybe they would have been able to previously to help patients obtain product. And then the other thing is I'm looking to pull down abandonment rates for commercial pay patients, and especially if they're being stretched right now economically or maybe are underinsured or uninsured as we go forward here, I think those are going to be really important. I think also there's a right thing to do for patients and for HCPs. I think the other thing as far as growth goes, is we've been very focused on the mid to high deciles and as we look at our prescriber base, our top prescribers, in fact, are holding up very well during this pandemic. And the other thing I think is interesting is this, as we look at our -- the states that are opening up by this weekend, basically two-thirds of our prescriptions come from those states. And then another, a total of about 80% when you look at states at this point anyways, are looking to open up by mid-May or end of May, but 80% of our prescriptions are captured there. So as those open-up, our programs layer on top of all this, I think be helpful to our brands going forward.
Tim Chiang: Well, that's great. I know you guys -- just one follow-up. You mentioned two regional plans. What parts of the country do those two regional plans cover?
Scott Plesha: Yes, I'm happy to answer that. So they're UPMC and then Highmark Blue Cross Blue Shield. They're very prominent. And I guess I'll use the word procedures, plans within the area of Pittsburgh, specifically. So they're predominantly in New York, but Pittsburgh market in particular is influenced greatly by them. And as Herm mentioned in his remarks, they -- they're not only meaningful as far as number of lives, but they also have an influence just on how things are perceived if they're covered. They're not easy to obtain formulary coverage. So we're pleased to be able to move them and improve their coverage and build those plans.
Tim Chiang: Okay, great. Thanks a lot.
Scott Plesha: You’re welcome.
Herm Cukier: Thanks very much for your questions.
Operator: We will next go with David Amsellem from Piper Sandler. Please go ahead.
Zachary Sachar: Hi. This is Zachary on for David. Congrats on the quarter and thank you for taking my question. I was hoping that you could speak to the importance [indiscernible] pandemic and what in [indiscernible] research has revealed and with the market research regarding the extent to which this schedule designation has been proven safe prescribing behavior lately. Thank you.
Scott Plesha: So I'll go ahead and take that question. One of the first things we did in the first week of the pandemic after we had pulled our sales force is we wanted to make sure that the HCPs that we support were very aware of the attributes of Schedule III products, specifically the ability to call in prescriptions. So anything that could make their -- lower their burden during this time, so [indiscernible] prescriptions, the fact that they can actually get five refills as well was very important. And then also we provided them with all the phone numbers and contacts for all the mail order pharmacies as well. The larger change and so that they had that access available to them, something that all these attributes that would separate us from the Schedule II. There's really no specific market research we've done at this time during the pandemic to pull out Schedule III versus Schedule II as far as prescribing habits.
Zachary Sachar: Okay. That's helpful. Thank you.
Scott Plesha: You're welcome.
Operator: Thank you. We'll next go with Matt Kaplan from Ladenburg Thalmann. Please go ahead.
Matt Kaplan: Hi, guys. Good afternoon. Just wanted to dig in a little bit more to the market access wins you’ve had. It seems like you've had really good success there lately. Can you give us a sense in terms of where you think you could continue that momentum in terms of gaining even more Part D lives or more commercial lives to really help facilitate the uptake of BELBUCA?
Scott Plesha: Hey, Matt. It's Scott again. I'll take that question. Appreciate it. So, as you know, we've done a really nice job. The teams really executed on the market access side to be able to improve BELBUCA coverage on a national level. So we pretty much checked all the boxes on the larger payers on the commercial side of the business and I think we've stated for the last few quarters that we're really going to start focusing in on some of these tougher regional plans. And in fact, we've done that with this announcement with UPMC and Highmark. So we have that and then within -- and as we benchmark, can we go back? We're about 60% preferred and 95% covered now on the commercial side. So we've done a really nice job there. So where we can we'll continue to try to work to even improve our status, maybe even against the other buprenorphine products. And then the other thing we've basically stated is that the Medicare side is an important focus for us going forward. So that's why we're excited to announce that, almost one -- over 2.1 million lives or close to 2.1 million lives were added on the Medicare side through ESI [ph] and then UPMC again and SelectHealth. And these plans were not formally not covered previously so -- and about 70% of them are at a preferred level. So we've done a nice job here in pulling them through. We're having very meaningful and I think productive conversations with other party payers. Hard to time when things are going to happen. As you know, I think typical adds happen in January for Medicare. So we'll do everything we can to pull things forward like we did with this ESI win. But, again, we're encouraged by the conversations we're having, but our focus, our number one priority is opening up access to Medicare going forward. And we'll continue to focus on that on the market access side.
Matt Kaplan: Okay. That's helpful. And then in terms of some proactive teams like you had really good success versus fourth quarter, 54% growth. What do you see driving that growth, where are you taking market share from in [indiscernible] market?
Scott Plesha: Matt, Scott, again. So, specifically in my prepared comments we've done a really nice job in pulling through are market share in both Prime Therapeutics, which was our win that we announced in Q4, but majority lives are in Q1. And then CBS Health was the other one. And so we've done a really nice job on those and really, the market leader here is [indiscernible] so they have mid 70% of market share. So it's really --it's for us to grow, the business has to come from [indiscernible] to really have meaningful growth. So that's where we're focused on trying to gain share.
Matt Kaplan: That’s helpful. And then just the last question. In terms of -- you mentioned that there were price increases taken early in the quarter. What was the magnitude of those price increases? And do you expect additional price increases throughout the year?
Scott Plesha: You want to take that, Terry?
Terry Coelho: Yes. So thanks, Scott. Hi, Matt. So I think what you can assume is about a 5% net price impact across both the products [indiscernible] some products that we took January 1.
Matt Kaplan: And then any plans for the year or it is kind of …?
Terry Coelho: No. No plans. We feel it's -- that was the appropriate level that places us properly in the marketplace.
Matt Kaplan: Well, thanks for taking the questions guys.
Scott Plesha: Thank you, Matt.
Terry Coelho: Good to talk to you.
Operator: Thank you. We'll next go with Esther Hong from Janney. Please go ahead.
Esther Hong: Hi. Congrats on the quarter. Wanted to ask what you're seeing in terms of patients losing commercial health care coverage. How are you thinking about this moving forward? And then, Scott, can you speak on specific details on the programs you mentioned with regard to these patients? What sort of assistance are you providing to these patients? Thanks.
Scott Plesha: Thanks, Esther. I appreciate the question. So I think it's really early now to truly understand the impact on commercial insurance. I think it will go down. We may see a little bit of a migration to even some Medicaid and as that happens. But I think there are going to be people who just are kind of uninsured for a while. And I think one of the reasons we wanted to step up as a company and try to help patients in that situation, what was to help and make sure people have access to BELBUCA possible. So we are -- we did implement. It only has [indiscernible] within the commercial side of the business. I mean, kind of co-pay card assistance, but basically it's pay no more than type situation where -- at a point where we feel that patients would still be able to afford it and be able to go forward with it. So -- and then the prior authorization side of things, there are patients that still have to do PAs. We've done a really nice job of adding market access. So the hurdles fairly low across most plans, but there still remains some challenges that makes it a little bit harder like in Medicare, for example, where we still have almost 75% of lives are not covered and there may be step edits. We feel that that'll be an area that would be very helpful until we can secure a future Medicare system -- Medicare access.
Esther Hong: Great. Thank you.
Operator: Thank you. We'll next go with Tim Lugo from William Blair. Please go ahead.
Unidentified Analyst: Hi, guys. This is John on for Tim. Thanks so much for taking my question. I was just wondering if you guys are seeing any pull through on numbers of customers, maybe ordering [indiscernible] ongoing pandemic. And how you guys are kind of thinking how this driving pattern might change as we move [indiscernible]?
Terry Coelho: Tim, I apologize. Could you -- it was a little bit hard to hear your full question. Do you mind repeating it?
Unidentified Analyst: Sorry, I was on a Bluetooth headset, that might be [indiscernible] very well. This is John on for Tim.
Terry Coelho: Okay.
Unidentified Analyst: I was just wondering if you guys noticing any flow through in number of customers, maybe ordering two versus one scripts due to the ongoing pandemic. And how you might be thinking about how prescribing patterns might be changing as we [indiscernible] returned to normal throughout the summer.
Scott Plesha: Hey, John, it's Scott again. So we haven't really seen a two versus one. I think most plans will only allow so many scripts filled at one time. So what we have seen is a slight increase, I mean, very, very minimal in the average script size will say. So the number of films or tablets per prescription has gone up. And I think that's consistent with what the whole market is seeing. I think we've seen some numbers from ITV that they're seeing in general, patients will get a full script if possible, instead of maybe say usually we've got -- would have gotten 40 and they were allowed 60, but we're allowed 60 they may be more likely to get to 60 now. So they are filling bigger scripts. And I think that's not just us, it's across the whole industry. And as far as getting back to prescribing, I think, we are hearing from -- we have obviously strong relations to the customers and we do believe there is some pent up demand out there for new patients that just haven't been able to get into offices to see HCPs. And I think especially in the opioid space, it's important a lot of times for the HCPs to have them the first time, [indiscernible] management to, if they’re going to initiate therapy, change therapy seemed for the patient "for the first time" or more likely to do it face to face [indiscernible] over telemedicine. So I do think that is something to keep an eye on as we go into the rest of the year and how it might impact prescribing in our brands specifically.
Unidentified Analyst: All right. Great. Thanks and congrats on the quarter again.
Scott Plesha: Thank you.
Terry Coelho: Thank you.
Operator: There are no questions at the moment.
Terry Coelho: Okay. We can end the call operator. Thank you everybody for joining.
Herm Cukier: Thank you very much.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.